Operator: Good afternoon, everyone, and welcome to Superior Group of Companies' Fourth Quarter of 2022 Conference Call. With us today are Michael Benstock, the company's Chief Executive Officer; and, Mike Koempel, the Chief Financial Officer. And, as a reminder, this conference call is being recorded. This call may contain forward-looking statements regarding the company's plans, initiatives and strategies, and the anticipated financial performance of the company including, but not limited to, sales and revenue. Such statements are based upon the management's current expectations, projections, estimates and assumptions. Words such as will, expect, believe, anticipate, think, outlook, hope and variations of such words and similar expressions identify such forward-looking statements.  Forward-looking statements involve known and unknown risks and uncertainties that may cause future results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties are further disclosed in the company's periodic filings with the Securities and Exchange Commission including, but not limited to, the company's most recent Annual Report on Form 10-K and the quarterly reports on Form 10-Q. Shareholders, potential investors and other readers are urged to consider these factors carefully in evaluating the forward-looking statements made herein, and we are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to update the forward-looking statements contained herein, except as required by law. With that, I would like to turn the call over to Mr. Benstock. Please go ahead.
Michael Benstock: Thank you for the introduction and welcome, everyone, to our 2022 earnings call. I'll begin today by sharing the highlights of our Q4 results. I'll then discuss the performance for each of our three business segments, providing an update on the macro environment and our strategy to grow the business moving forward. After that I'll turn it over to Mike to walk us through the financial results in greater detail and to provide our outlook for 2023. Mike and I will then be available for Q&A. We finished 2022 with continued top-line growth in the fourth quarter Consolidated revenues were $149 million up 5% over the prior year quarter driven by growth in both our Branded Products and Contact Center segments. As a result we achieved full year sales of $579 million in 2022, which was near the top- end of our annual guidance range. Our consolidated fourth quarter adjusted EBITDA was $3 million down from $8 million in the fourth quarter last year primarily due to an incremental inventory write-down of $6 million in our Healthcare Apparel segment. Let's take a closer look now at our quarterly results by segment beginning with Healthcare Apparel. Revenues came in at $26 million relative to $31 million the prior year quarter reflective of the ongoing soft conditions of the broader healthcare market. Healthcare Apparel EBITDA declined by $8 million compared to prior year quarter primarily due to the aforementioned inventory write-down. Based on our lower purchasing levels implemented in mid-2022 and adjustments to our inventory valuation we expect to see better inventory equilibrium by the end of the year. Looking ahead our strategy involves capturing new customers in new markets primarily through an emphasis— an increased emphasis I should say, on digital growth including the launch of our own direct to consumer website during the second quarter. While we recognize that will take time and investment to build consumer awareness and demand, the expansion of digital within our omnichannel approach will enable us to grow our Healthcare Apparel business. Overall with leaner inventories and a revitalized customer facing business strategy, including an emphasis on digital growth, we're confident in the strong growth prospects for Healthcare Apparel and our own ability to capture market share, improve profitability over time. We provide the widest range of products in the market, with more than $2 million essential caregivers wearing our highly recognizable brands every day. Branded Products, our largest segment, generated revenues of $102 million during the fourth quarter, which was up 7% year-over-year, benefiting from a full quarter's contribution from the Sutter's Mill acquisition made during the fourth quarter of 2021. As well as the Guardian acquisition that was completed in May of 2022. Organic demand declined mid-single digits, due in part to subdued demand in the current uncertain economic environment. Fourth quarter EBITDA was $11 million up from $6 million last year, driven by higher sales, improved gross margin rates and ramping up PPE inventory write-down last year, partially offset by an increase in SG&A from investments in talent and technology to support future growth. Branded Products is an attractive market, highly fragmented, with a total addressable size of $26 billion domestically. Our compelling strategy is to continue to grow our very modest market share of less than 2% by offering unique, customized and high quality products. Our Contact Center segment had another strong quarter with revenues of $21 million, up 22% over the fourth quarter of 2021. Fourth quarter, EBITDA of $4 million was flat to last year's investments and SG&A related to talent, technology and infrastructure to support future growth, offset increase in sales and gross margin. On a full year basis, Contact Centers finished 2022 with strong annual top line growth of 31%, achieving our highest EBITDA margin within SGC of 22%. With our investments in infrastructure combined with a strong pipeline to prospective customers, we continue to see Contact Centers as an exciting and profitable growth business going forward. I'll now turn the call over to Mike to take us through our financial results and outlook for 2023. Mike?
Michael Koempel: Thank you, Michael, and thanks, everyone, for joining the call. I'll start by walking through our financial results, and then I'll turn to our initial full year outlook. During the fourth quarter, SGC generated consolidated revenues of $149 million, up 5% from $142 million the prior year quarter. Our gross margin was 30.2% for the quarter, down 80 basis points year-over-year due to the $6 million incremental inventory write-down for Healthcare Apparel. Excluding the incremental charge, our gross margin would have been 34%. SG&A expense was 29.8% of sales, which sequentially improved from 32% in the third quarter, but was higher than the fourth quarter of 2021 at 26.7%. The improved expense trend from third quarter benefited from an adjustment to employee expense accruals, as well as improved leverage on higher sales and the benefit of cost reductions. The year-over-year increase as a percent of sales was due to continued deleverage from the decline in Healthcare Apparel sales, as well as our continued investments in talent and infrastructure, especially within Branded Products and Contact Centers to capitalize on compelling future growth opportunities. Our fourth quarter interest expense was $2.2 million as compared to $295,000 in the fourth quarter of last year, driven by a combination of higher interest rates and a higher average debt balance outstanding during the quarter. Net income for the quarter was $2 million or $0.14 per diluted share as compared to net income of $4 million or $0.27 per diluted share in the year ago quarter. During the fourth quarter, the company sold its corporate office building for $5 million in cash proceeds, resulting in a pre-tax non-operating gain of $3 million. Excluding the gain in the prior year fourth quarter’s pension termination charge, the fourth quarter 2022 net loss was $1 million or a $0.06 loss per share compared to net income of $5 million or $0.31 per diluted share the prior year period. The decrease in adjusted results was primarily driven by the incremental inventory write-down and increased interest expense. Turning to the balance sheet, cash and cash equivalents as of December 31, 2022, increased to $18 million from $9 million last year, due in part to the sale of our corporate office near year end. In terms of our debt position, our net leverage ratio of 3.85 times, our covenant EBITDA remains elevated. Based on the fourth quarter inventory charge and the calendarization of our 2023 forecast, it is more likely than not that we will exceed our net leverage covenant ratio of four times covenant EBITDA. As a result, we have initiated discussions with the lending agent on ways to address a potential amendment should it be needed in order to maintain compliance throughout the year. We will continue to focus on cash flow enhancement by improving our working capital position, particularly by optimizing our inventory levels within our Healthcare Apparel segment, as well as scrutinizing our operating expenses and capital expenditures. I'll conclude my prepared remarks with our initial financial outlook for 2023. Overall, we expect current slow economic conditions to persist, and are cautiously optimistic that business conditions will gradually improve throughout the year. With that in mind, we are forecasting full year 2023 sales to be between $585 million and $595 million versus 2022 sales of $579 million. In earnings per diluted share, between $0.92 and $0.97, compared to adjusted earnings per diluted share of $0.62 in 2022, which reflected significant inventory write-downs. At the segment level, our 2023 forecast assumes that Healthcare Apparel sales will be up low-single-digits versus last year, and will gradually improve throughout the year, as inventory levels and customer demands return to normalized levels. For Branded Products, we estimate segment sales to be flat to down low-single-digits, as we expect the continuation of the challenging market conditions from the fourth quarter of 2022, into the first half of the year, with meaningful growth in the back half of 2023.  Lastly, we expect the Contact Center segment to continue to grow well into double-digits, consistent with the fourth quarter performance reported today. Given these expectations for our three business segments, we expect our 2023 results to be relatively back-end loaded, as underlying market conditions gradually return towards equilibrium. We are confident in our ability to execute on our strategic plan to capitalize on multiple growth opportunities and enhance the long term shareholder value. That concludes our prepared remarks. And, operator, if you could please open the lines, we would be happy to take questions.
Operator: We will now begin the question and answer session. [Operator Instructions] And, at this time, we'll pause momentarily to assemble our roster. And the first question will come from Kevin Steinke with Barrington Research. Please go ahead.
Kevin Steinke : Hey. Good afternoon. 
Michael Benstock: Hi, Kevin.
Kevin Steinke: I wanted to start off by asking you about the outlook for 2023. You mentioned that you expect the lower economic conditions to persist but, at the same time, you expressed some optimism that the business conditions should gradually improve throughout the year for Healthcare Apparel, and that momentum will build in Branded Products, leading to a significant growth in the second half of the year. So, I'm just – if you could discuss more kind of line of sight to that improvement throughout the year? Or what do you think will drive that improvement? Are you seeing a clearing up of inventory in healthcare or of building pipeline and Branded Products? And, I guess, any color that you can offer on that overall outlook for 2023 would be helpful.
Michael Benstock: Sure. Thanks, Kevin. Thoughtful questions. Unfortunately, the answer is going to be a little bit longer because of the three segments. So it's all different in each of our businesses, Branded Products has been affected mostly by people holding back on buying, marketing budgets being curtailed or being put on pause. Mostly our – we have a lot of clients in the tech space and gig economy that have experienced some mass layoffs and not spending a lot of money. But as the year goes on and I'll say this about each of our businesses as the economy improves, which is expected later on in the year, certainly in the second half, we expect to benefit from that improvement as well as there will be pent-up demand. You can only hold back so long before you have to buy uniforms for employees and before you have to start gifting your employees and looking at how you can create brand allegiance among your customers. And people have held back now for some time. We can't control the macro environment obviously. We all read the diverse opinions about what to expect in 2023 and certainly the most recent the latest banking crisis, who knows how that might impact things in the future. Now when you get to our call center business, we certainly feel strongly that we'll have continued growth throughout the year. The demand is very strong. It's not weakening because of the current economic conditions. In fact it's strengthening and typically in a recession and especially a recession where it's so hard to hire in the United States right now entry level positions, which is kind of a unique situation. We're seeing a demand like we haven't seen before. Healthcare Apparel, it's all a question of timing of when we're able to completely right-size our inventories, move past what we're sitting with still in inventory, turning a lot of that to cash and being able to present a lot of newness. Keep in mind that third and fourth quarter will be slightly impacted by our – favorably, by our direct-to-consumer launch that we spoke about, as well as our continued omnichannel approach in those businesses. But we can control only what we can control. Our view of things is it's going to be a tough year, but it's going to be better in the second half of the year than it will be in the first half.
Kevin Steinke: All right. Thanks for the insight there. And also following up just on the outlook for 2023. I don't know if you can maybe talk about assumptions you have baked in for operating margin and interest expense. Do you think you can get some margin expansion based on some of the cost savings actions you've taken? How meaningful of a bite do you expect interest expense to be, I guess?
Michael Koempel: Hi, Kevin. This is Mike, would be happy to answer your questions. From a margin perspective, as we've disclosed for this quarter and in prior quarters, obviously we have taken significant inventory write- downs this year in the aggregate over $13 million in 2022. We do not anticipate lapping those types of charges in 2023. So we certainly do expect the margin rate to improve, particularly within our healthcare business. In addition to that we are seeing some easing of what we refer to as supply chain costs, which was certainly increased significantly through the pandemic. That cost has started to come down, not necessarily to pre-pandemic levels, but it has come down. And, as we sell through our inventory with those higher rates, we'll begin to see the benefits of some of that lower cost in our inventory, again, more so in the back half of this year. So, I think, we see, again, the margin rate improving primarily in that business. And, from an interest standpoint, you can see already partially, in the third quarter and in the fourth quarter, a significant increase in the interest expense. We anticipate that continuing. So, in our modeling, we are expecting the interest expense to still remain up significantly over 2022. Again, expecting that the rates will continue to be high. And, while we will focus on bringing our debt down as quickly as possible based upon our average debt balances outstanding, we would expect that expense to still be up fairly significantly to 2022.
Kevin Steinke: Okay. Thank you. And then, lastly, Mike, you mentioned potentially having to amend the credit agreement and the leverage ratio embedded in there. Just what sort of line of sight do you have to potentially having to amend that or the confidence in being able to do that if you need to?
Michael Koempel: Sure. As I mentioned in the script, when you look at the combination of our fourth quarter charge and, again, the calendarization of our 2023 forecast, we view this really as creating a short term compression from a covenant perspective. And so, that's why we took the, obviously, the proactive approach of reaching out to our lending agent. With that said, Kevin, obviously, I can't speak for the lending group, but we're certainly looking forward to working with them on a mutually beneficial outcome over the coming weeks.
Kevin Steinke: Okay. Thanks. I'll turn it over and get back in the queue.
Operator: The next question will come from Tim Moore with EF Hutton. Please go ahead.
Tim Moore: Thanks, and thanks for the providing sales and EPS guidance for this year. It was definitely nice to see the SG&A and operating leverage in the December quarter. So, I just – I have my own sales guidance question scenario, similar to what was just asked. If I look at the sales guidance range, it seems to be a 1% to 3% increase despite having about $7 million possibly of sales from the first four months of this year from the Guardian acquisition before that lapsed, it's anniversary on May 1. So when I kind of back into math, it looks like, you know, a 0% – about a 1.6% organic sales growth for this year when you factor in Guardian. Do you think that could be a little bit too conservative in light of maybe some pricing power and probably, the likely natural rebound in healthcare in the second half of this year? And, if Michael doesn't mind speaking a little bit more towards, what type of scenarios could maybe trigger an upside beyond that top end $595 million guidance because I'm – and I'm wondering if it's really the swing factors. Would you say that the biggest swing factor might be in the Branded side, in BAMKO?
Michael Koempel: Hi, Tim. It's Mike, I'll start and then Michael can add. We certainly hope it's conservative as you're calling out. There is, as we said in our prepared remarks, we're cautiously optimistic about the year. But as Michael mentioned before, there's varying points of view on the economic outlook and so we're, obviously, we believe that our range is realistic. We are certainly, as a management team, going to work very hard to exceed that range. But we believe it's a realistic range as we look ahead for the year. As you called out, we've taken a number of price increases, which started earlier in 2022 and that is factored in. And we are factoring in to our thinking that the Healthcare Apparel business will have a rebound. As we mentioned, there's – we expect some softness to continue in the Branded Products segment here in the first half of the year with that rebounding in the back half. But again, I think overall, we feel that it's a realistic range based on what we know today and again, as a team, be working very diligently to exceed that. I'll pass it over to Michael.
Michael Benstock: Let me speak about each of the segments. So what could create more upside to that, I'll give some color to that portion of the question. BAMKO, as we've said on previous calls, is accelerating their efforts with respect to recruiting sales representatives. So far, I can tell you this year they've been very successful through the first two months, exceeding the number of reps that they've been able to recruit in any two- month period in the past. So if they can continue at the rate they are that could possibly help our Branded Products' revenue in the second half of the year, beyond even our projections. TOG which is our Contact Centers, we have employed some new sales strategies and some new sales talent. That's up to speed now and we believe that those strategies, which, should they be more successful than we even have projected conservatively that that could help us. And then, of course, on the Healthcare Apparel side, we're launching D2C and we're being cautiously optimistic with respect to our level of success. But we realize there's a ton of market share there to be taken. We have put together I think the dream team with respect to people who can execute on a D2C strategy both from a branding side and a digital side consumer facing side. From the President on down in that organization. And they could be wildly more successful than we've projected. But we wanted to give realistic guidance based on more the current economic conditions than what we might be wildly successful at in the future.
Tim Moore: That was very helpful color on the scenarios and thanks for giving those details on the sales reps at BAMKO and the D2C launch in Healthcare. For the Contact Centers, the Office Gurus, how has the call center in the Dominican Republic been ramping up since it opened in October?
Michael Benstock: Good question that's a beta site for us as every new call center is, especially when it's in a new country, it has yet to prove that what it can do for us. It's too early in the process, really, for us to fully understand whether it's going to be as successful as we've been in Belize and El Salvador and Jamaica. We have plenty of capacity within all of our centers because a great deal of our people are still working from home and our customers – most of our customers don't mind them continuing to work from home. So there's less pressure on us to push the Dominican sooner than it needs to be pushed. Right now, we're controlling our costs there. We're doing a very slow ramp-up to make sure that it is what we want it to be. So, I'd say, we're – we certainly are operational in our building. I don't know the exact number, I believe it's less than 30 people right now and doing a multitude of tasks for a multitude of customers. But give me about six more months, and I'll be able to answer that question more definitively.
Tim Moore: Sure. No, that makes sense. It's great prospects there, and it looks really good, probably a year or two out on revenues. My next question is about you have – have you seen for BAMKO, has the order size stabilized recently year-to-date? Or are you seeing maybe not stabilized because of the technology, customers are pulling back, but you're seeing possibly share of wallet gains, share of wallet at your existing clients of BAMKO?
Michael Benstock: We're not – what I can tell you is we're not losing any customers. But a lot of our customers have pulled back on how much they are ordering. And it's a correct conclusion that if they have fewer employees and they're buying employee gifting or whatever, they're buying less. So our order size has come down. On the other side of that when you get into these periods of time and uncertainty, you see a lot more RFP activity than you normally would see because everybody is doing their price checking out to the marketplace. So we are responding to a great deal of RFPs right now. We have a big team who is just on RFPs. And the success of a few of them – a few wins there could make a very big difference in our year.
Tim Moore: That makes sense. Thanks for that color. And I actually have a question for Mike. How much, Mike, do you think you estimate the excess or buffer inventory might be? I'm trying to wrap my head around or maybe triangulate your free cash flow potential for this year. And it seems like you'd have a good tailwind for working capital if you get those inventory levels more normalized by June. Have you ever kind of calculated a number on that...
Michael Koempel: I think, Tim...
Tim Moore: ...to a more normalized?
Michael Koempel: I'm sorry, Tim, from a – from an inventory perspective and we've I think mentioned this in the prior call, it's going to take us the better part of 2023 to really get inventory down to our targeted levels. And obviously, when you take into account bringing inventories down because of the elevated levels we've had, but at the same time fueling some of the growth of the business, we would be targeting inventories by the end of the year to be down about mid-single digits. Again, that would be a combination of bringing healthcare down. But then also fueling some of the growth in the business that we're seeing across the other segments. So certainly, bringing the inventory down will help drive an improvement in free cash flow and working capital, which has been our focus. We feel, as Michael mentioned in his prepared remarks with the reserves that we've taken in reducing some of the pricing, we can achieve that target, and that's our goal for the year.
Tim Moore: That makes sense. And so my last question is, is there any seasonal dip in the gross margin in the December quarter? You mentioned, which was helpful, the gross margin would have been 34% or so backing out the inventory. And I know you had to write-down December quarter the year before. I was just wondering if there is ever any kind of seasonal spending drop or marketing drop at the end of the year by BAMKO or customers? What do you think maybe more of the drop this year was tied to some of those technology customers and layoffs?
Michael Koempel: There's not typically much seasonality, Tim, in the business. Obviously, as I called out, the big impact to us here in Q4 was the inventory charge. But typically, across the businesses, there's not too much of an impact. As Michael called out, specifically in the fourth quarter and within the Branded Products segment, there was a lapping of some of the charges that were taken in Q4 of last year, which gave Branded Products an improvement. And then I would just add also within Branded Products, there's a margin rate improvement that we've seen just in the quarter as some of the lower margin customers have been eliminated. But again, I wouldn't characterize that as a seasonal, just more of the timing of when those actions took place.
Tim Moore: Fair enough. That's it for my questions and thanks for answering them.
Operator: The next question will come from Mitra Ramgopal with Sidoti and please go ahead.
Mitra Ramgopal: Yes. Good afternoon and thanks for taking the questions. First, I was wondering if you – maybe you can help us in terms of the CapEx for 2023. And you mentioned the elevated net capital ratio – leverage ratio. Would that impact your ability or willingness to spend this year, whether it's on technology, head count, et cetera, and also maybe even on the consolidation opportunities?
Michael Koempel: Hi, Mitra. it's Mike and nice to hear from you. From a CapEx perspective, we had a significant capital investment year in 2021. It was over $17 million and as a company, we typically will have a heavier investment year every four or five years. The capital that you can see in 2022 was down to $11 million. And as we look in forward to 2023 and the projects that continue to support the business, we actually are budgeting capital expenditures for 2023 to be down about 30% from 2022. That still enables us to make what, we believe, are the appropriate investments to support the growth of the business, but at the same time, also recognizes our need to generate cash and bring our debt levels down. So, we feel good about our capital budget for this year and we've also thought very carefully about the timing of that spend. So, as we talked about before, as our financial forecast is more back-end-loaded, we've also been careful to plan our capital expenditures more toward the latter half of the year so that we can react appropriately if the conditions are better or if they happen to be unfavorable, we have the agility to adjust that if necessary.
Mitra Ramgopal: Hello.
Michael Koempel: Does that answer your question, Mitra?
Mitra Ramgopal: Yes. Sorry. I think I've lost you for a moment there. No, that's great. And actually, just curious, in terms of a capital allocation, obviously, M&A is going to be a source for that. But how should we think in terms of priorities as it relates to debt repayment, dividend, share – potential share repurchase?
Michael Koempel: Mitra, our focus in terms of just, again, driving an improvement in our free cash flow and then the priority really being to bring our debt levels down. Obviously, we recognize the importance of the dividend to our shareholders and that will be evaluated every quarter with our capital committee of the board going forward. But our first priority will be to manage the debt levels – and maybe I'll pass it to Michael from a mergers and acquisitions standpoint.
Michael Benstock: Our – as we said on the last call, Mitra, merger and acquisitions are not on the table right now. Obviously, with our debt levels, we don't think it's prudent to do so. Will there be opportunities we’ll have to pass up on? Possibly. Or we'll have to put on the back burner for another time, perhaps later in the year or next year. But right now, we're really focused on creating efficiencies within the business and turning more of our balance sheet into cash and that is our main focus. If you go out to our website, we'll have out there soon our new investor deck and you could see, we've taken M&A off one of the things that we're looking at as a driver for the business, for the, at least for this coming year, there will be opportunities later on. And we think that we are a good acquirer, but it's time for us to really focus on driving efficiencies. And we've been doing that since mid-last year looking for opportunities to right size the business, to automate, to create all kinds of efficiencies, whether it's from a gross margin standpoint or from an SG&A standpoint. And we think our success in that light depends on – largely on how much we're focused on it. So we will be 100% focused on that.
Mitra Ramgopal: Right, thanks. And then finally, I think in the past that you've mentioned efficient periods of where you have prolonged inflation or even high interest rate, et cetera, you've been able to take share, especially in an economic downturn. I'm just wondering, based on the guidance the second half of the year and I know you're being a little conservative, but I'm assuming you still expect that trend to continue as it relates to continuing to take share from competitors.
Michael Benstock: I can say that, that is our goal. Surely that’s the thing that will get us closer to where we want to be from a debt level standpoint and where we need to be from a shareholder value standpoint is growing the business profitably. And that is a correct assumption. Whether it's conservative or not, I'll let you be the judge of that, but we intend to deliver on the guidance that we've given – that we've giving you today.
Mitra Ramgopal: Okay. Thanks again for taking questions.
Operator: The next question will come from BJ Cook with Singular Research. Please go ahead.
BJ Cook: Hey, thanks, guys. Just a couple of quick ones here. On the inventory side are there – since the write- downs are non-cash, can we assume that that’s just promotional pricing to get your inventory back on track? Is there more of that? And as we get on track for the rest of the year, can we expect any more on the write-down side?
A – Michael Koempel: The write-downs certainly were in the Q4 based on our evaluation of future selling prices. So, writing that inventory down will, in essence, enable us to – in essence, liquidate some of that underperforming inventory more aggressively. And take some margin pressure off of the healthcare business in 2023, which is, as I mentioned before, is where we see there are upside in the business for 2023 from a margin perspective. So in essence, it does help with the markdowns and help the clearing through different channels, both through our digital channel as well as with our wholesale customers.
Q – BJ Cook: Okay, thanks. We see optimistic 2023 guidance and you broke out revenue. I'm just kind of curious, given the dynamic environment we're kind of in now and everybody's in now. From a profit perspective, is the guidance going to shake out similar to what it has in the past? Or you're going to see something different this year?
Michael Koempel: I'm sorry. You're breaking up a little bit, but, I think, you're asking about the profit guidance by segment?
Q – BJ Cook: Yeah. That's right.
Michael Koempel: Sure. Well, we – our guidance, obviously, is on a consolidated basis from an earnings perspective, what I would say, just as an additional context is given, again the down-trending that we've experienced in healthcare in 2022, combined with the significant write-offs that we've taken within that segment, the guidance certainly assumes an improvement in the Healthcare Apparel results, a pretty significant improvement. And, if you – just in 2022 alone, we took about over $10 million of charges in the Healthcare Apparel segment which, again, we would not anticipate to repeat in 2023. And, as Michael touched on it from the other segments, we anticipate that our Contact Center business will continue to grow and be profitable, as it has in the past, with the EBITDA margin approximately 20%. So, still a strong EBITDA margin and we would expect our Branded Products segment to hold its margin going forward as it moves through the year.
BJ Cook: Great.
Operator: The next question will come from Kevin Steinke with Barrington Research. Please go ahead.
Kevin Steinke: I just had a couple of follow-ups. You mentioned the accelerated sales force hiring in BAMKO and that that's actually tracking ahead of your targets. Just how quickly can new salespeople ramp-up and start contributing? And I guess that could be a factor in you taking share and potentially contributing to the growth in the second half that your – you discussed?
Michael Benstock: Good question. Most of the salespeople that we recruit come from the industry, come to us with a book of business, or at least most of their book of business, and are mostly commissioned salespeople. So our cost to bring them on, you know we have to onboard them of course. We give them some support from our office in India primarily, which is a very low-cost support, and support that they hadn't had at all at their previous employer usually. And generally, we get about 18 months and their entire book of business transfers over to us. So it's on an escalating basis, but it does vary by salesperson, Kevin. I mean, some people come to us with $1 million book of business and immediately within a couple of months, we're writing on an annualized basis that much business. And some people come to us with $1 million book of business, and it takes six months to start tracking half of that. But in 18 months our expectation is we’ve brought at least all that over. I mean, the ultimate reason why these people come to work for us is because they think they can – and we've proven that, by aligning themselves with us, they can actually grow their book of business significantly more than they can at their current employer. So somebody who might come to us with a $1 million book of business, what we're hoping and what we're working towards is getting them to a $2 million book of business within an 18- to 24-month period of time.
Kevin Steinke: All right. That's helpful. And then lastly, the direct-to-consumer website launch targeted for the second quarter within Healthcare Apparel, can you just talk a little bit more about expectations for that, the strategy and how quickly you're assuming that could kind of ramp?
Michael Benstock: It's – we kind of – it's going to be a very slow ramp. You go out first, it's a site that we will tweak and have to gain a lot of knowledge from the analytics we get from that site on who's buying and who's clicking and how we incentivize people to sign up at the site for products and so on. So it's a slow ramp. We're not projecting much in the way of revenue in 2023. What we want to do in 2023 is just build awareness for our product among those who are already loyal to our product, building a higher level of loyalty so that we can bring in all their friends and other caregiver associates onto the site to escalate our growth. But this is a year to really build awareness and 2024 is the first year where we believe that we'll see some meaningful impact to our sales.
Kevin Steinke: Okay. That's helpful insight, appreciate it. That's all I had. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Michael Benstock for any closing remarks. Please go ahead, sir.
Michael Benstock: Thank you all today for all the great questions. Good to have a few of you on here and asking questions from different directions. We certainly appreciate it. I want to thank you all for joining us. But before I end the call, I'd like to extend a special note of gratitude to someone who has contributed tremendously to the SGC over a long period of time. Andy Demott, as we announced last year, is heading into retirement after 25 very productive years with SGC. Since joining us in 1998 as our CFO and more recently our COO, he was here through a period of unprecedented expansion, diversification, and change and has been a tremendously valuable business partner. It's been a true pleasure to work with Andy, and we're incredibly pleased that he's continuing to serve on our Board of Directors, which means we will continue to benefit from his experience and valuable perspective. Sadly, we also announced last month the passing of our Chairman of the Board, Sidney Kirschner. As part of his distinguished career, Sid first joined our board more than 25 years ago and served as Chairman for the past 11. We benefited greatly from his insights, and I personally considered Sidney an incredible individual, a valuable mentor, and a dear, dear friend. He will be deeply missed by all of those whose lives he touched. Thank you again for joining our call. We'll keep you posted on our progress throughout the year. And please don't hesitate to reach out with any questions. Thanks again and speak to you next quarter.
Operator: